Operator: Good morning. My name is Adra and I will be your conference operator today. At this time I would like to welcome everyone to the Utz Brands, Inc. Fourth Quarter 2022 Earnings Call. Today's conference is being recorded. [Operator Instructions] At this time, I would like to turn the conference over to Kevin Powers, Senior Vice President, Investor Relations. Please go ahead.
Kevin Powers: Good morning. And thank you for joining us today. On the call today are, Howard Friedman, Chief Executive Officer; Ajay Kataria, Chief Financial Officer; and Cary Devore, Chief Operating Officer. Howard and Ajay will make prepared comments this morning, and all three will be available to answer questions during our live Q&A Session. Please note that some of our comments today will contain forward-looking statements based on our current view of our business and actual future results may differ materially. Please see our recent SEC filings, which identify the principal risks and uncertainties that could affect future performance. Before I turn the call over to Howard, I have just a few housekeeping items to review. Today, we will discuss certain adjusted or non-GAAP financial measures, which are described in more detail in this morning's earnings materials. Reconciliations of non-GAAP financial measures and other associated disclosures are contained in our earnings materials and posted on our website. Finally, the company has also prepared presentation slides and additional, supplemental financial information which are posted on our Investor Relations website. And now, I like to turn the call over to Howard.
Howard Friedman: Thank you, Kevin. And good morning everyone. It's great to be here with you today. And I'm excited and thankful to have joined Utz. It's a company I have known and a brand I have enjoyed for over 30 years. I'm grateful to Dylan and my fellow board members for my appointment and for the warm welcome. Utz has a long, proud heritage and together with the more than 3000 associates across the country, I'm confident we can do great things to build upon the strong foundation Dylan established. To kick off today's call, I thought I'd begin with several early observations about the company that reinforces this was the right decision for me and also what has me excited about our future. Just to share a few, I have found our team to be very eager to learn new things and attack any problem. I appreciate the pleased but not satisfied mindset and how seriously they take ownership of the role they play in the success of our company. This kind of work ethic has built Utz into what it is today and will continue to reward our customers, consumers, associates, and shareholders. In addition, our associates did a great job improving the company's foundation since going public, and it's remarkable what's been executed in nearly two and a half years. Examples include upgrading talent, implementing a new ERP, strategic M&A to address subcategory gaps and capacity, expanding distribution and investments in supply chain capabilities and technology. All of these efforts are in the early stages and have well-positioned Utz for future growth. From a capability standpoint, while I have been in the food industry for over 25 years and my background is in direct-to-warehouse, it's become very apparent that our hybrid distribution model is a real, strategic asset. My focus is simply to help better lever this model to unlock further growth opportunities. From a marketing standpoint, today we spend just a modest 1% of sales that has been more focused to historically on sponsorships. We've made good strides to shift that mix over the last year and a half, and we have a real opportunity to increase our marketing investments over time and shift more capabilities from consumer push to consumer pull activities. And finally, while our margins have been impacted by historically high inflation, the company did a good job executing rounds of pricing actions. It's encouraging that we are now offsetting cost inflation. And as our margin enhancing activities begin to drop more to the bottom line, I am very confident in our short term, medium and long term margin opportunities. Before I turn to our fourth quarter results, I think, it's important to take a moment to reflect on what the organization accomplished in 2022. 2022 was a year of gradual recovery and one where we exceeded our original financial expectations, while also building for the future. Net sales of over $1.4 billion increased 19% over the prior year as Utz experienced a period of prolonged hyper growth, which has developed the confidence that our portfolio can compete and win. In addition, in 2022, we drove market share gains across our largest channel, the grocery channel, and across our largest subcategory, potato chips, implemented pricing initiatives and delivered on our productivity goal of 3% of cost of goods sold to enhance margins, manage costs, and provide the required fuel for reinvestment. We significantly increased our market penetration with our expansion into more than 1300 public stores. And this is an exciting partnership that we will look to expand. Implemented network optimization projects to unlock capacity and lower costs. I'd like to highlight the purchase of our new manufacturing location in Kings Mountain, North Carolina, which we are converting into a flexible, fully operational, snack food production facility, which will contribute to higher margins and capacity over time. And finally, we completed the process of bringing all Utz facilities under the same ERP system. This platform is already yielding enhanced data and analytics to enable more timely and informed decisions to improve execution. Again, a really great job all around by the team to execute against our key objectives amidst the challenging environment. Turning to our fourth quarter financial results. Our momentum continued in the quarter as we again delivered results that were ahead of our expectations. Net sales increased 18%; adjusted gross margins expanded 220 basis points; and adjusted EBITDA increased 17%. Our performance was led by continued, strong consumer demand as our category remains resilient, combined with our revenue management actions and our productivity initiatives that are now fully offsetting inflation. Critically, these actions are providing the necessary benefits for continued investments in our people, brands, selling infrastructure and supply chain capabilities. Looking at our IRI retail consumption trends in the quarter, we increased sales by over 14%, which is our fourth consecutive quarter of double digit growth. And as we expected, our growth slightly lagged in the overall salty snacks category as certain subcategories have been impacted by lapping strong activity in the mass channel. As we expected, some of these dynamics impacted the fourth quarter and are expected to continue into the first half of 2023. Even as we lapsed strong growth in the prior year, our power brands continued their momentum with growth over 15%. Our top three largest brands grew double digits as our flagship Utz brand grew 16%, On The Border grew 10% and Zaps grew 70% behind innovation and improved supply. From a subcategory perspective, we gained share and delivered over 20% growth across both potato chips and pretzels, which combined represent about 60% of our retail sales. For both subcategories we saw broad-based strength across most channels and geographies led by Utz and Zapps brands. For tortilla chips, as I mentioned earlier, we are lapping very strong activity and mass channel. We're On The Border [indiscernible] sales are more heavily weighted. For perspective on this year-over-year comparison On The Border tortilla chips, sales grew nearly 20% in mass in the fourth quarter of 2021 and nearly 30% in the first quarter of 2022. As we move further along in 2023, we expect our Tortilla Chips performance to improve. With respect to Power Brands, we had a strong Golden Flake Pork brand with a loyal following across the southeastern region of the United States. While pork is a small percentage of our sales, it's an important power branded ads. And as we continue to scale up production in our new Kings Mountain facility, I expect to return growth this year. From a geography perspective, we continue to make progress penetrating our white space opportunities while improving execution in our Core. In the Core, which represents over 60% of our sales, we grew over 14% with our flagship Utz Brands up 13% and On The Border tortilla chips up nearly 25%. Zapp's sales increased about 85%, again, led by innovation and better supply. Beyond the Core, we continued our momentum in the emerging region as sales increased over 20%, which has been benefiting from our public expansion that began in mid-2022. We will continue to look for opportunities to expand our penetration led by large national grocers throughout 2023 and beyond. Finally, our expansion geographies are currently more weighted toward the Mass Channel, and this impacted our share performance given the lapping of strong activity. Of note, as we continue to refine our retail sales reporting, next quarter, we plan to collapse our emerging and expansion geographies into one single expansion geography. Now I'd like to turn the call over to Ajay for our financial discussion, and then I'll make some concluding remarks before we open it up for questions. Ajay?
Ajay Kataria: Thank you, Howard, and good morning, everyone. Before I begin my discussion, Howard, I would like to welcome you to your first earnings call at Utz. I'll speak for the entire team when I say that it's been a pleasure to work with you over the past few months as we look ahead to leading this company to even greater success. I would also like to thank all of our Utz associates for executing our plan in 2022 with courage and conviction and continuing to elevate our service levels to our customers and consumers in the face of several market challenges. Thank you, team. Now I will review our full-year results and fourth quarter financial performance, and then we will discuss our fiscal 2023 outlook. For the full-year of fiscal 2022, we are pleased to report that we are ahead of our original March, 2022 expectations on both top line and bottom line results. Total net sales increased 19.3% to over $1.4 billion with organic growth of 15.5%. Adjusted gross profit dollars increased 18.6% and adjusted EBITDA dollars increased 9.2% to $170.5 million. Our results improved throughout the year as we expected as our revenue management activities combined with our productivity programs began to fully offset gross input cost inflation, all while we continue to make critical investments in our growth. Importantly, margins sequentially improved throughout the year, aside from the fourth quarter due to typical seasonality, and we expect to build on this momentum in fiscal 2023. Turning to our fourth quarter results. Net sales were ahead of our expectations and increased approximately 18% to $354.7 million. Adjusted gross margins expanded 220 basis points to 36.6%, and this includes an approximate 100 basis points of negative impact from our higher conversions. Our adjusted EBITDA increased by 17% to $44.1 million or 12.4% of sales, which was lower than our third quarter results and in line with our expectations due to critical seasonality. Adjusted net income increased 34.4% to $21.5 million and adjusted EPS increased 33.1% to $0.15 per share. Moving to the P&L for some additional details, starting with net sales. Our net sales growth in the quarter was 17.9%, driven by organic growth of 15.9%, acquisition-related growth of 3% and an impact from conversion of company-owned RSP routes to independent operators, which reduced the net sales growth by 1%. Our organic net sales growth was driven by price mix of 17.9% and offset by lower volumes of 2%. Our net sales performance was better than our expectations as we continue to execute our planned pricing actions to offset inflation and experienced lower-than-anticipated price elasticities. Importantly, as we had anticipated, volume was proactively impacted by approximately 300 to 400 basis points due to our strategic SKU rationalization activities that are meant to simplify our portfolio, optimize mix and increased focus on our Power Brands. In addition, as we expected and referenced in our third quarter earnings discussion, we are also lapping strong activity in the Mass Channel in the prior year that temporarily impacted volume growth. In the fourth quarter, adjusted EBITDA increased 17% and margins were 12.4% of sales. Decomposing the change in the adjusted EBITDA margin for the quarter. Positive drivers include price mix benefit of 17.9% as we continue to take pricing actions to offset inflation and productivity improvement of 180 basis points. Offsetting these positive drivers where the unfavorable margin impact of 17.6%, driven by higher inflation, including transportation costs and selling and administrative expense impact of 220 basis points. Our inflation impact versus last year was comprised primarily of higher commodity input costs as well as elevated labor and transportation costs. Selling and administrative expense, which excludes distribution expense increased primarily due to higher accruals for incentive compensation. In addition, as Howard described earlier, we continued to increase our investments in our people, brands and selling infrastructure and supply chain capabilities to support our growth. Importantly, our fourth quarter margin performance was consistent with our value creation strategy and reflects the execution of our playbook. Consistent with what we shared last quarter, just to highlight a few, we are proactively optimizing our revenue mix and rationalizing less productive and lower-margin SKUs. And we have eliminated more than 350 SKUs with a primary focus on private label and certain power partner brands. These actions free up capacity in our plants and distribution network, which is helping us in servicing higher-margin Power Brand business. We are further developing our price pack architecture program and optimizing our trade spend, leveraging improved talent, technology and analytical capabilities. We are executing our productivity programs focused on manufacturing efficiencies, logistics and network optimization, packaging design work and product formulations. We delivered productivity of approximately 3% in 2022 as a percent of COGS, which is helping to offset gross inflation. Our Integrated Business Management or IBM talent and capabilities have improved significantly in 2022, which has improved customer service and order fill rates as cross-functional processes are driving better supply and demand management. Finally, we are delivering our expected M&A cost synergies from our recent acquisitions since going public. And importantly, all of these acquisitions are now fully integrated to our new ERP systems. This is an important building block in our ability to operate our business using a common platform, which gives us better visibility to drive portfolio synergies and scale. I am incredibly proud of our team’s execution this year in a dynamic environment and we expect these programs will continue to build momentum into fiscal 2023 and beyond. Now turning to cash flow and the balance sheet. Beginning with cash flow, we generated stronger cash flow from operations in the fourth quarter as we expected bringing our full year 2022 cash flow up to $48.2 million. Of note, as we have previously discussed, our cash flow this year has been impacted by the $23 million of buyouts of multiple third party DSD distribution rights in the first quarter of the year that were treated as contract terminations and booked as an expense in adherence to GAAP. Full year capital expenditures were $88 million. As a reminder, in April, we announced and closed the transaction of our Kings Mountain facility. In accordance with GAAP, the $38.4 million purchase cost of this facility was recorded on our statement of cash flows as a capital expenditure and not as an acquisition. Moving to the balance sheet. Net debt at quarter end was $860.3 million or 5x normalized adjusted EBITDA of $170.7 million. Of note, this quarter we decided to revise our definition of normalized adjusted EBITDA. In prior reporting periods, this profitability metric used in our leverage calculation included identified unrealized integration related cost savings that are expected to be realized from recent acquisitions. In an effort to continually conform our non-GAAP definitions to be more in line with peers, these expected synergies have now been excluded. For fiscal 2022 these expected synergies totaled $7.9 million, and the inclusion of these cost savings was originally assumed in our fiscal 2022 leverage outlook. Moving to liquidity and our debt maturities. As a reminder, during the fourth quarter, we entered a new real estate senior secured term loan of $88 million maturing in 2032. Importantly, this loan has an effective fixed rate of 6% via an interest rate swap. In a rising interest rate environment, this real estate term loan puts in place a low fixed rate instrument that increases our financial flexibility as we continue to expand distribution and generate strong organic growth. Proceeds from this strategic financing were used to pay down in full the outstanding amount under our revolving credit facility with excess cash going to the balance sheet. Importantly, as of year-end, our liquidity increased to approximately $236 million as compared to $138 million as of fiscal third quarter ending October 2, 2022. In addition, a reminder of that about 70% of our long-term debt is fixed at approximately 4.6% via interest rate swaps. We have no significant maturities until 2028 and our credit structure is comprised of covenant light debt instruments. We have no maintenance covenants on our Term Loan B, which provides significant EBITDA headroom while we work on reducing leverage. Now turning to our full year outlook for fiscal 2023. As we look forward to this year, we expect continued strength in net sales growth with total net sales projected to grow 3% to 5% and organic net sales growth of 4% to 6%. Of note, our continued shift to independent operators is expected to impact our total net sales growth by 1%. Price mix is expected to be the largest contributor of growth with volumes consistent with last year. Our sales volume will be supported by distribution gains in our expansion geographies to include continued benefits from our public’s expansion, along with additional opportunities led by national grocery customers. They will also be supported by higher levels of advertising and marketing spend, in particular working media spend and new innovation like our Zapp’s simply seasoned pretzel sticks. Our outlook assumes that we will experience greater price elasticity in fiscal 2023 compared to what we saw in fiscal 2022. We are also lapping strong volume growth from our first half 2022 performance, including strong activity in the mass channel. In addition, our SKU rationalization program will continue into 2023 as we further optimize mix to improve portfolio margins. This program began late into the first quarter of last year, and through a wraparound impact from last year’s actions combined with new actions this year. We expect approximately 400 basis point impact from SKU rationalization in the first quarter of 2023. We subsequently expect volume performance to improve throughout the year and for volumes to grow in the second half of 2023, ending the year consistent with 2022. I would also note that the wraparound benefits of 2022 pricing actions will be highest in the first quarter of 2023 and will then sequentially taper off throughout the year. Overall, we expect sales to be second half weighted with a 49% versus 51% split between the two halves. From a profitability perspective, we expect to deliver gross margin expansion in 2023 as net price realization and higher levels of productivity are expected to offset higher gross input cost inflation with varying impacts across our basket of raw materials, labor, fuel and freight costs. All in, we expect total gross input cost inflation of high single digits in 2023, which will be first half weighted with moderation in the second half of the year. Strong gross profit growth will help to fund the rest of our P&L beginning with reinvesting in our brands. Advertising and related consumer spend is expected to increase double-digits versus prior year as we increase consumer investments around our Power Brands. Strong sales and margin performance also enable investment in supply chain and selling capabilities, technology, infrastructure and our associates. For example, we added close to 250 DSD routes in fiscal 2022 and will continue to invest in growing our selling organization this year, which includes new people and distribution centers to support our long-term growth. We will also continue to ramp up our spend behind key capabilities in an effort to provide a stronger foundation for future growth and efficiencies. Moving down the P&L, we expect our full year 2023 adjusted effective tax rate to be approximately 20% to 22% and interest expense of approximately $55 million, which reflects the higher interest rate environment. Reinvesting in our core business is one of the best ways we can deploy capital and is a key growth enabler for us. Capital investment this year is expected to be between $50 million to $55 million, primarily to support manufacturing capacity expansion. Finally, we continue to expect stronger free cash flow generation in fiscal 2023 from higher profits and our working capital initiatives. Additionally, we are investing in capabilities to improve our cash flow conversion to include better inventory management and more efficient cash operations. Our capital priorities remain consistent and taking all this together we continue to expect to reduce leverage in fiscal 2023 by half a turn and end the year below 4.5 times normalized adjusted EBITDA. In closing, we are confident in delivering another year of strong operating performance in 2023 with continued top line momentum, optimization of our cost structure and expansion in margins while we continue to invest in our capabilities. With that I will turn it back over to Howard.
Howard Friedman: Thanks Ajay. Building on Ajay's remarks, I'm really excited about our consumer activation plans as we look ahead to another year of growth in 2023. Consistent with the strategy we outlined when we went public and building on the shift that began in the second half of last year. In 2023 we are significantly shifting our legacy marketing spend. We plan to increase working media by about 60% behind more consumer poll marketing to unlock growth by increasing our connection to our consumers and building on our sales momentum. We will be laser focused on extending the reach of our Power Brands, focusing on what our consumers craved and unleashing our brands in real life. We will continue to extend our voice to the consumer through both advanced targeting of media and earned reach, and we are finding success in connecting and engaging with our fans on high attention platforms. From an innovation perspective in 2023 we'll continue to support the launch of our Zapp's Sinfully-Seasoned Pretzel Stix, which has higher than expected repeat while also introducing an exciting slate of new products across key power brands and subcategories. In 2023, we will scale Zapp's Seasoned Pretzel and extend Utz Peanut Butter filled pretzel into additional pack sizes. Launch new seasonal offerings and increased multi-pack assortment, which is a huge growth category and big opportunity for us. And consumers continue to love our Hot & Spicy offerings, so we will introduce new limited time offers and line extensions like Mike's Hot Honey chips and our new Red Hot Ripples, both very on-trend. So before we open the call up for Q&A, I'll wrap-up with a few summary comments for what's untapped for the remainder of the year as we look to build on our momentum with focused execution. We operate in the advantage salty snacks category that is resilient and growing with strong customer partnerships, consumers who love our products and formidable competitors. The coming year we'll certainly test the metal of our industry as the operating environment remains dynamic. But I'm confident in our ability to respond to all the opportunities with speed and passion. I believe the success of our geographic expansion strategies still have significant room to run with opportunities to increase the availability of our power brands to more markets and more consumers when supported by increased marketing and enhanced innovation. There are also opportunities to continue to strengthen our hybrid distribution model by investing in critical supply chain and selling infrastructure to support our geographic expansion nationally, as well as our ongoing customer base. We will also be focused on greater efficiencies and decreasing costs as we continue to strategize where we can take this company and how we innovate to bring new products to market and to more consumers. We will enhance our margins through productivity gains across our supply chain, improving our promotional spend efficiency, enhancing our revenue management programs, and optimizing our product mix throughout our brand portfolio. And finally as Ajay mentioned earlier, we are focused on improving cash flow and reducing leverage to unlock future organic and inorganic opportunities for the business. In closing, I'd like to first wish Dylan good luck in his new role as Executive Chairman and thank him for the seamless transition and for his partnership throughout the process of me joining the company. I'm thrilled to be leading us at this time and I'm grateful to our team for the exceptional performance in 2022, and I'm very optimistic about our future. And now operator we'd like to open the call for questions.
Operator: Thank you. [Operator Instructions] We'll take our first question from Andrew Lazar at Barclays.
Andrew Lazar: Great. Good morning everybody, and welcome Howard.
Howard Friedman: Thank you, Andrew.
Andrew Lazar: Howard to start off, obviously you've talked a lot this morning about increasing marketing and advertising spending and working media and reach and such, and I know this is an area of expertise for you and a skill set that you certainly bring, added weight to for the organization. Obviously Utz has been more of a DSD sort of led, sort of push model for much of its history and that's worked really well. How do you assess the right balance of a push-and-pull model going forward? And how do we think about that in terms of the right level of spend going forward, whether that's as a percent of sales or however you want to define it?
Howard Friedman: Thanks for your question, Andrew. A couple things. First, I'll remind you that we spend a very modest 1% of our spending today on marketing. So I think no matter how we look at it, there's some room to run. You are right. The company historically has been a push model. Our hybrid distribution model is a towering strength for us and will always be a significant focus. But over time, I think we are – the goal is to bring it a little bit more into some balance, probably a little overweight to push and a little underweight to pull. But I think a good target for us is kind of call it in line with what our competitors do call it 3% to 4% over time. I'm realistic that that won't happen overnight and we've got a lot of work to do to get to the point where we can spend that kind of money, but that would be the expectation.
Andrew Lazar: That's helpful. Thank you. And then Ajay, at the midpoint of 2023 guidance, you're looking, I think for about 50 basis points of EBITDA margin improvement. How should we think about the contribution from both gross margin and SD&A when we think about that EBITDA margin expansion? Thanks so much.
Ajay Kataria: Sure. I think the super majority of that margin expansion is going to come from gross margin. As you heard us talk about in our prepared remarks, we are investing in a lot of capabilities this year as we did last year. So those investments primarily go into SD&A, and then productivity and price net of inflation helps gross margin. So expansion is going to come from gross margin.
Andrew Lazar: Thank you.
Howard Friedman: Thanks Andrew.
Ajay Kataria: Thanks Andrew.
Operator: We'll move next to Michael Lavery at Piper Sandler.
Michael Lavery: Thank you. Good morning.
Ajay Kataria: Good morning, Mike.
Howard Friedman: Good morning
Michael Lavery: Howard, welcome and congratulations. We'd just love to see if you could tell us some of your first impressions so far and maybe count in the context of this question of just, how much we expect things to change, how much stays the same, and how much do you have a sense of that already and just some of the ways you're thinking about how that looks?
Howard Friedman: Yes. Thanks for the question, Mike. I'm – well just want to reiterate how excited I am to be here. Look, I think if you look at us today a lot of things are going right and the business is performing the strategies or sound. The culture is strong. So a lot of the things that I see are really about how do we continue to extend that those really strong things as we continue to get bigger and our complexity continues to enhance. So I don't suspect you're going to see significant changes. I think what you're going to see is us building on the capabilities that we've been investing in and bringing them to maturity as the business demands it.
Michael Lavery: Okay. That's helpful. And I just wanted to follow up on some of the thinking on brands and marketing. This may be a little nitpicky, but you had pointed out that Utz, On The Border and Zapp's brands as more flagship within the Power Brands and gave some details specifically around those. Is that a little kind of nudge in a different direction to really have sort of a smaller core that, that you really focus on and push behind? Obviously all the Power Brands versus the core distinction still seems to make perfect sense. But is that – is that maybe an even stepped up level of focus we should expect on those brands going forward?
Howard Friedman: I think you can count on a stepped up level of focus on those brands, but not on, not at the expense of our portfolio of Power Brands. But what the way that I think about marketing and I think about the businesses overall is, number one, do our brands have something to say that our consumers want to hear? And then two, are they – are the investments big enough to move the enterprise in a direction that we are trying to go? We have some smaller brands that have – that sort of meet the first two criteria and we'll figure – we'll address them over time. But right now I think those three brands are the biggest, most impactful and probably have the most to say but haven't said it yet.
Michael Lavery: Okay. Great. Thanks so much.
Howard Friedman: Thank you.
Operator: Our next question comes from Rupesh Parikh at Oppenheimer.
Rupesh Parikh: Good morning, and thanks for taking my question. So the first area I wanted to start with is just cost pressures. Just curious if you can get more color on the outlook for the year, and then what remains the biggest pressure points in your business today?
Howard Friedman: Hey, Rupesh. I'll take that. So the way to think about our cost pressures, we have guided to high single digit inflation in the basket that we track: raw materials, labor, fuel and freight. We expect that we are going to see more inflation in the first half, and then it tapers off in the second half. And part of the reason why that would happen is our contract have us paying prices on a two quarter, three quarter delay. So we are going to be paying in first half prices that you saw in the market in the second half of last year, and they go against favorable prices that were in our P&L in the first half of last year. So from a lab perspective, we should see more cost pressure in the first half and it's in the same typical baskets of oil and potatoes and corn that that moved significantly on us last year.
Rupesh Parikh: Great. And then maybe just one follow up question. So elasticity for – for you guys have been pretty negligible to date, but just curious what you've built into guidance on the elasticity front for the year?
Howard Friedman: That's correct. So far really modest or negligible elasticity, we did not experience any in Q4. But as you have seen in the marketplace we are expecting that consumer pressure starts to grow. So we have modeled elasticities in our guidance for fiscal 2023. We are certainly expecting that they will increase versus last year. And I will add that we are in a salty snack category, which will see less of an impact from elasticities compared to some of the other food categories. We have very rational competitive dynamics in the category, very low private label share. And we continue to watch the consumer and competition very closely. We'll execute our top line. We have good visibility into all the drivers of volume. We talked about some of those in our prepared remarks, and we are confident about the year.
Rupesh Parikh: Thank you. I'll pass it along.
Howard Friedman: Thank you.
Operator: And we'll go next to Peter Galbo with Bank of America.
Peter Galbo: Hey guys, good morning. And welcome Howard.
Howard Friedman: Good morning. Thank you.
Ajay Kataria: Good morning. 
Cary Devore: Good morning. 
Peter Galbo: Just a couple of numbers questions Ajay maybe just to put a finer point on the inflation guide. So, high-single-digit, right, so should we think about that as double digit in the first half and like mid-single digit in the second half and that kind of averages you to high single for the year? And maybe the point two on that question is, I think, you gave a sales split first half, second half if there's something similar you can do on EBITDA as well.
Ajay Kataria: Yes. So first question on the flow of inflation, I think, you have it right. I would just say it on the high side of double digit and low side of mid-single digit, or what have you first half versus second half. And then on free cash flow, what was – I'm sorry, what was your second question?
Peter Galbo: EBITDA split. EBITDA split.
Ajay Kataria: Okay. On your EBITDA flow, we guided, or we talked about in our prepared to marks that we expect sales to be about a 49%-51% split, first half, second half. EBITDA should be about second half weighted as well. But from a seasonality standpoint we are – see Q3 to be our highest margin quarter and first quarter to be a lowest margin quarter. So from a seasonality standpoint, you should see a slightly more weightage in the second half on EBITDA than revenue.
Peter Galbo: Got it. Okay. That's helpful. And then maybe just as a follow-up, I think, you were going there on free cash flow. You gave a CapEx guide for the year. Just around operating cash flow, I think, you've talked about better free cash flow generation for this year, but anything you can do, just to quantify the free cash flow piece a bit more and how that's playing into how you are thinking about leverage. Thanks very much.
Ajay Kataria: Yes. So we expect to generate about $50 million this year. And we are expecting higher flow through from EBITDA as well as better working capital management. So those two should drive a significant improvement versus 2022 on free cash flow.
Operator: We'll go next to Jason English at Goldman Sachs.
Jason English: Hey good morning folks.
Ajay Kataria: Good morning.
Howard Friedman: Good morning.
Jason English: And welcome Howard, look forward to meeting you in-person. And thank you for putting me on the question. So a number of questions, right. I guess I'm going to focus on some of the margin commentary so far. You finished strong back half margins, gross margins, obviously, nice sequential uptick from where you started. Based on cadence, it suggests you should get at least a 100 basis points of gross margin expansion next year. You are guiding to – for Andrew's question earlier, you're guiding to implied EBIT margins up around 50 bips. So I was hoping you can unpack where some of these investments are going. I know you mentioned marketing, like which brands are you looking to activate? How are you going to activate them? But marketing is still a small slug for you. This implies like a lot of other SG&A inflation. How much of that is underlying inflation? How much of that is capability building? And which capabilities specifically are you looking to build? So, sorry for the long-winded question. I know there is a lot there.
Ajay Kataria: Jason, I'll start. This is Ajay and then hand it over to Howard to talk about the brand piece. From a margin standpoint, you are correct, we are expecting gross margin expansion this year, and the super majority of our EBITDA margin expansion is going to come from gross margin. And then we are investing in various capabilities as we talked about, IBM, revenue management, marketing, innovation, productivity, these were in some ways hit SG&A. And then as we work through it from an inflation standpoint, we have we have transportation costs in SD&A, the outbound transportation cost. The rate should be about flat for the year. So, not a whole lot of impact from an inflation standpoint of SD&A. So it's really focused on our investments. And I'll ask Howard to talk about your brand question.
Howard Friedman: Thanks Ajay. Jason, the way I would look at our brands, there are a couple of places that we need to invest. Obviously our big three On The Border, Utz and Zapps are all opportunities for us to invest more so that we can increase the pressure with our consumer. As you look at Zapps specifically, we have had a very successful simply seasoned pretzel stick launch that, I think, is still very much in the early innings. And we have a story to tell on building not only the brand, but the product story. And in our core, we have an opportunity to be able to test drive some of the marketing capabilities that we need to build amongst a consumer cohort that actually knows the brand, has affinity for it, and would allow us to be able to build confidence as we were then to roll that into other markets.
Jason English: Okay. In prepared remarks, you also mentioned that DSD routes, you added 250 throughout the course of this past year. How much of those were organic, sort of new routes that you opened up versus routes that you've acquired?
Ajay Kataria: About half and half. So we acquired routes to your point when we acquired the Clem and J&D master distributors in the New York area. And then from an organic standpoint, we opened up quite a few routes in the southeast as we started doing the public’s business.
Jason English: Yes. Okay, cool. Thank you. I'll pass it on.
Ajay Kataria: Thank you.
Howard Friedman: Thanks, Jason.
Operator: We'll go next to Robert Moskow with Credit Suisse.
Robert Moskow: Hi, thanks. And good to talk to you Howard.
Howard Friedman: Hi, Robert.
Robert Moskow: For 2023, could you maybe outline a few of like the major productivity initiatives that you're planning? Like, are there any big one that will push that productivity number higher? And then a similar question on distribution gains. You had a big chunky one with Publix in 2022. Is there anything on the horizon that could be similar to that in 2023?
Cary Devore: Hey Rob, it's Cary. I'll jump in and take the first one on productivity. So yes, we expect good growth in productivity next year, an increase as a percentage of our COGS and further progression of the program. I'd say next year logistics and this year logistics and manufacturing will lead the way across a variety of initiatives. Order efficiency, better efficiency with our in-house fleets, RFPs for logistics providers, continuous improvement, black belts, things of that nature. So good progress this year. We're still early innings on things like ingredients and procurement, getting efficiency and productivity there and that will layer on as the year has progressed. So we feel good about our progress but there's still a lot of upside.
Howard Friedman: And then with respect to your question around distribution and are there – how are we thinking about as we go forward? I think, Robert, that our Florida prototype is a really good example. We're very pleased with the performance with respect to Publix, obviously, but also the lessons that we learned about how to repeat that model as we go across the country. And I think what you'll see us looking for is a similar dynamic, a larger national retailer where we have existing relationships with that maybe we haven't entered the geography yet or maybe there is an opportunity for us to materially change by investing infrastructure. And as you can imagine, there are significant opportunities for us over time to continue to expand as we continue to move west. So I think that's probably the best way to think about our distribution over time.
Robert Moskow: Okay. So Western onward. And last question, are there any new pricing initiatives in first quarter? I can't remember, Ajay, if you mentioned new things that flow through? And are there any plans for anything going forward?
Ajay Kataria: No plans to take any new broad-based pricing actions. As you remember, we talked about – we took a couple of rounds of broad-based pricing actions last year, I believe, February as well as August. So the program this year is built around – the wraparound benefits for price – with pricing actions that we took last year primarily. And our revenue management capability now allows us to continue to work on our portfolio, optimize for mix, optimize for margins and sort of invest and pull out where we need to keep working that portfolio.
Robert Moskow: Okay, thank you.
Ajay Kataria: Thanks Rob.
Operator: We'll take our next question from Bill Chappell at Truist Securities.
Bill Chappell: Thanks. Good morning.
Ajay Kataria: Good morning.
Bill Chappell: Howard, I know we keep going back to the marketing question because it's kind of a change. But I guess the simple one is, I understand you want to get from kind of 1% to eventually 3% of sales like your peers, but one of your peers had a marketing budget probably 50x the size of yours. So 3% is a lot more money than your 3%. So does that really make a whole lot of sense to try to keep up or try to be a peer average versus just putting more kind of trade promotions and a way to kind of drive local velocity?
Howard Friedman: Yes. So I actually would offer you, I don't think that that's a binary choice. I think over time, it does make sense for us to shoot for, call it, that 3% to 4% range. A lot of our marketing today was and will continue is due to the nature of our hybrid distribution model to be local, whether it is in-store activity or with retail or e-commerce platforms or as we're entering into new geographies, all of those things cost money. And obviously, all of those things are areas where we will continue to invest. What I would like to see us do over time is to balance also the idea – the consumer pull because I think what will happen is as the white space closes, as we continue to advance in our push, we will eventually need a healthy and robust top line driven by consumers wanting the products. And that, I think, helps the next sort of chapter of our story. But again, I would look at this as a longer-term expectation. I certainly take your point about scale, and we obviously wouldn't spend money if we didn't believe that there is a reasonable expectation of return.
Bill Chappell: Got it. And then in terms of – and I appreciate that. In terms of kind of the competitive landscape, what's your expectation for – as costs ease and we move, especially into the summer promotions from competitors or yourself stepping back up to levels they were probably pre-pandemic? Or do you think people will go to – tow the line until we're really all cleared for a while on the call?
Howard Friedman: So I would not attempt to tell you what I think my competitors will do. What I would say is that we certainly understand that our competition supply chains are in much better shape than they were a year ago. And so some of the competitive intensity that I think we will see is just frankly people returning back to the marketplace to try and drive their own demand. I think we feel comfortable about our promotional plan and our promotional strategy that we’re executing. But obviously, if we find that we need to adjust it, we’ll adjust it as we go into the back half. But as of right now, I would suspect that rational competitors in a rational category will behave rationally.
Bill Chappell: Great. Thanks so much.
Howard Friedman: Thank you.
Ajay Kataria: Thank you.
Operator: And we’ll take our final question this morning from Mitch Pinheiro at Sturdivant & Company.
Mitch Pinheiro: Hey, good morning.
Ajay Kataria: Good morning.
Mitch Pinheiro: Most of my questions had been asked and answered. But I had a question on, first on leverage. To get your leverage down a half a turn next year, it implies that EBITDA will be at the high end of the range as you laid out, unless I’m doing my math wrong. But is there – are there any other issues? I mean, you’re increasing CapEx year-over-year, well, maybe excluding the Kings Mountain acquisition. But it looks like is there working capital benefits that you’re going to get to help lower the leverage turn?
Ajay Kataria: Yes. I’ll attend that. So I think mathematically at the midpoint of our EBITDA guide, we should – we will need to improve our net debt or reduce our net debt by about $30 million to get to below 4.5x. And we believe that with the stronger free cash flow generation, both from EBITDA as well as working capital improvements, while CapEx is going to be actually slightly lower as per our guidance and interest is going to be slightly higher, so those two kind of net each other out. We should be able to get to reducing net debt by about $30 million or more.
Mitch Pinheiro: Okay. And does that – so is 2023 going to be a year of steady as she goes from an acquisition point of view? I know you have increased flexibility, but I was just wondering your appetite for acquisitions in the coming 12 months.
Ajay Kataria: So we are – I’ll say that we are always in the market looking at good opportunities. From an acquisition standpoint that acquisitions we did in the last 18 months, 24 months to help with our manufacturing and distribution capacity, I would say that we have enough in terms of manufacturing capacity now. It’s more about optimizing that network at this point. So we don’t need to do more in the near-term. But from a distribution capacity standpoint, we continue to look at master distributors, probably not to the extent that we did in 2022 to a smaller extent, but we are being opportunistic to make sure that we are continuing to expand our DSD network by either opening up new routes organically or acquiring a route network that we can then plug into our DSD network.
Mitch Pinheiro: Okay. And then just last thing, just clarification. There’s going to be continued SKU rationalization drag in 2023, is that correct?
Ajay Kataria: That is correct. That is a program that we – sorry, go ahead.
Mitch Pinheiro: Why does that – did you quantify that? I may have missed it.
Ajay Kataria: We have – not in our prepared remarks. We referenced that we are expecting about 400 basis points of impact in the first quarter, and that is coming from the wraparound effect of 2022 SKU rationalization program that started in late Q1 last year. So we are going to see a lap impact of that and then an impact from the new 2023 SKU rationalizations that we are working on right now. We are expecting about 200 basis points of impact for the year in 2023 from this program. But like I said, Q1, we’ll see an additional impact from wraparound of 2022 as well.
Mitch Pinheiro: And is it fair to say when you get to 2024 SKU rat will be pretty much complete?
Ajay Kataria: So we – the program is a normal work stream for any consumer company. It wasn’t so for us, and we started working on it in earnest last year. And I’ll say that as we came into 2023 started executing, we saw a lot of opportunity for us to make improvements in our portfolio and free up capacity in source production, optimize our network. And that’s why you see us doing a little bit more than usual definitely in 2022 and then again in 2023. We are hoping that we get through this in 2023 in a way that starting 2024, it just becomes normal course of business.
Mitch Pinheiro: Okay. Thank you. Appreciate it.
Ajay Kataria: Thank you.
Howard Friedman: Thank you.
Operator: And that does conclude today’s Q&A session and today’s conference call. Thank you for your participation. You may now disconnect.